Operator: Good afternoon, ladies and gentlemen, and welcome to AngloGold Ashanti's 2023 Third Quarter Production Update. [Operator Instructions] 
 I will now hand the conference over to Mr. Stewart Bailey. Please go ahead, sir. 
Stewart Bailey: Thanks, Judith, and welcome, everybody, to the AngloGold Ashanti Q3 2023 production update. We have a brief presentation today looking at the main production performance for the company over the quarter. Alberto will give that, and then we'll go straight to questions. Alberto? 
Alberto Calderon: Thank you, Stewart. We'll start where we always do, with safety. We're immensely proud of another strong performance as we work hard to keep our people safe, notwithstanding a sometimes challenging operating environment. We will always put safety first. You will actually see an example of that later with Obuasi. We continue to make steady progress on our journey to zero harm. Our total recordable injury frequency rate is probably one of the lowest of the large mining companies in the world, about half of the ICMM. This is an area we dedicate significant time and resources, and realize we're only as good as our last injury-free day.
 Next slide, please. I'll make a few brief remarks about our production performance for the third quarter of 2023. Given our new corporate structure and ahead of our voluntary conversion to domestic filer status in the U.S., we can only report on production and not financial or costs in the third quarter of this year, and the first quarter of next year. We will, at year-end and the first half of next year, provide full results. And we anticipate in Q3 of next year, resuming full quarter reporting. We saw very strong performance from a number of our key assets, getting us back on a strong footing after the setbacks in the first half. In the first half, the conversion of Cuiabá to concentrate operation cost us about 13,000 ounces, while the CIL tank failure of Siguiri cost us another close to 30,000 ounces. 
 Of course, it is natural to trip from time to time, but it is how you get back up that matters, and our performance in the second half will demonstrate that particularly the recovery at these 2 sites. We continue to build momentum in our production during the third quarter, with a 3% increase versus Q2, a seasonal step-up we flagged at the half year on the back of higher ore tonnes processed. The increase is actually 5% when we adjust for CdS in Brazil, which we placed in care and maintenance during August. Importantly, we are holding to the guidance we issued in February of this year. I repeat, we are holding to the guidance we issued in February of this year. And by this, I mean, all guidance. 
 As we've said throughout this year, this will require another step-up in production of Q4. We anticipate strong finishes in Cuiabá, which will outperform its production guidance; for Siguiri, which stands back from the tank collapse; and at Obuasi, which is expected to have a similar production performance for Q4 of last year as it overcomes the ground issues it experienced in Q3. We will talk more about this later. The highlights. The big movers in the portfolio were Iduapriem, with a 27% increase in production over Q2, followed by 22% at Siguiri, 13% at Kibali, 9% at Serra Grande, 6% at Geita and 3% of Tropicana. There were offsets those specifically at Obuasi, which I'll talk to in a moment. 
 It's been a busy time for us. We completed our corporate restructure moving our domicile to the U.K. and our primary listing to the New York Stock Exchange. We completed the sale of our stake in the Gramalote project in Colombia to B2Gold during October, and took the difficult but necessary step during September to place CdS in Brazil on care and maintenance, which will have an overall beneficial impact on costs and cash flows. This step, which is never taken lightly, comes after attempt to sell this asset and various interventions to restore it to profitability. As I've said before, we have as a core principle, that we won't indefinitely cross-subsidize loss-making operations, and that sometimes leads to difficult choices. 
 At Cuiabá, we've seen a very strong turnaround, which will continue into year-end. The performance has been driven by both volumes and grade, and we are forecasting 240,000 ounces for the year. In short, the much stronger second half in LatAm, along with the decisive actions taken on CdS, will significantly reverse the trend of the first half and get us much -- and get us to a cash neutral position in Q4. In Nevada, completion of the feasibility study for the North Bullfrog project is anticipating during the fourth quarter of 2023, while the conceptual study for the Expanded Silicon Project continues to progress and is anticipating during the fourth quarter of 2023. Starting at Geita. Gold production improved versus Q2 by both higher volumes and grades, production was in line with our expectations, and the operations is on track for its production target of 500,000 ounces. 
 After a couple of soft quarters, a strong production performance was recorded at Kibali. Production was up 13% quarter-on-quarter and 19% year-on-year. The improved performance was mainly driven by higher ore tonnes processed and higher overall recovered rates. We are happy to report exploration is expected to more than replace reserves depleted this year as we have been doing for the past years.
 Iduapriem's strong production performance was also driven by both volumes and grade as we stepped up throughout after commissioning the new TSF and accelerating access to the higher ore grade blocks -- higher-grade ore blocks. And production at Tropicana was 3% higher quarter-on-quarter mainly due to improved rates. Moving to the tier 2 mines, Sunrise Full Asset Potential program is again delivering positive results as the underground tonnes continue to show steady improvements in Q3. In Q3, the mine recorded an  18%, 1-8, year-on-year increase in the underground ore tonnes processed. We have talked that this was one of the main ideas of the Full Asset Potential. Siguiri also recorded a strong quarter-on-quarter production improvement as the mine stepped up to near normalized levels of production following the CIL tank failure. 
 At Cuiabá, as I mentioned, mining is back to normal rates. And across at Serra Grande, where we are working hard to turn around the performance. There's still a long way to go, but we're encouraged to see higher processing volumes, driving an improved result. Obuasi continues in general terms, I would say, to progress well on the critical areas of work. Most have advanced, let's say, from the last time I spoke at the Denver Gold Forum as expected. However, it's a complex mine and there will always be short-term issues, short-term volatilities in the ramp-up. And particularly in August and September, production of Obuasi was impacted by very poor ground conditions and some very high-grade stopes, something we have seen in the past where mine grades are around 20 grams a tonne. 
 The poor ground conditions associated with Obuasi's high-grade areas required additional ground support, which slowed down our mining rate and made it difficult to remove all the ore in the stope after a blast. During August, we lost underground mining equipment to fall-of-ground in one -- in these area. While nobody was injured in the accident, the decision was taken to proceed more slowly to ensure safety in our operations. In August and September, we were probably only having around 2 stopes open, while in normal times, we have 5 to 6. The good news is that the team during these 60 days figured out what to do in the short term and in the long term. And in October, we are back on track. 
 During October, we began using a significantly larger drilling equipment, a V30 reamer. At 750 millimeters, we were using drilling with a head of 250, so around 3x more area. This more efficiently establishes our new stopes. This in turn is allowing us to safely increase our mining rates and to reach similar levels of production to those we achieved last year. We expect a similar Q4 production performance to what we had last year. So last year, we did 88,000 in the last quarter of 2022, and we are expecting a similar production in the last quarter of 2023. You could understand, we already know August, and we have a very good idea of where November is heading. 
 We are also transitioning parts of the mines from the sublevel open stoping method to underhand cut and fill, which is better suited for these conditions that will not only improve safety, but also our overall extraction efficiencies in these areas. This is a common and well-understood mining method, designed for conditions like those we're experiencing. It's a method using -- it's a method that has been used successfully around the world. Actually, in the call, we have our new COO, Richard, he has experience with this method. If anybody in the call want to take details, I'm very glad to have him aboard. You won't get them from me. It's a method that will help us to move safely and consistently to deliver ore to the plant. This change won't impact our steady-state production expectations at Obuasi, although the trajectory will be slightly altered. 
 In short, we're seeing production this year from Obuasi at similar levels to last year, around 250,000, stepping up to around 300,000 in 2024 and back to around our original steady-state guidance of 2025 of plus 400,000 ounces. In closing, we remain focused on making more improvements and on delivering more consistent results in line with the targets we've set out. We have achieved key milestones over this period, notwithstanding the challenges that we all face. We have taken clear decisive steps to address issues we faced in Brazil. We are recovering well at Siguiri and have a robust plan at Obuasi. 
 Our Tier 1 assets are performing well, with more improvements in the pipeline. We're optimizing our important Tier 2 mines and determining with our stakeholders the best forward for our remaining assets. We focused on improving operating and capital efficiencies, and we continue to improve our cost competitiveness. We're also transitioning part of the mine -- no, I think that is it. Thank you. 
Operator: [Operator Instructions] Our first question comes from Adrian Hammond of SBG Securities. 
Adrian Hammond: Alberto, just 2 questions. Just curious to know whether your 4% growth target for FY '24 remains intact given the setback at Obuasi. Or are there any other levers you can pull, generally speaking, for the group overall strategy to a longer-term sustainable profile? And then any update on Tarkwa-Iduapriem JV progress there at all? And then just your -- what are you seeing in inflation right now? Has it been steady since Q2 or has there been some release there? 
Alberto Calderon: Thank you. Look, yes, the guide -- the Obuasi in 2024, we -- I think, had told about, it was going to be around 370,000, so there is a reduction in Obuasi. But overall, I think we gave -- the guidance that we gave, we still expect to be within the range that we said. I don't remember it from memory. I'm pretty sure that on the guidance we gave on cash costs, we will also probably meet that guidance we gave for '24, which is important. 
 The JV, look, it continues to progress well. The teams are working well. We're having meetings with the government. It's just going probably slower than we want to. And that's why the focus in both companies is that our assets perform well. And we're particularly happy with how Iduapriem is functioning, as you see, a very big improvement. So that is the main thing. We have to be patient. It is a very good idea to put these assets together, but we can only go as fast as the government wants us to go. 
Adrian Hammond: Sure. 
Alberto Calderon: That was it? Or there was another question? 
Adrian Hammond: Just, Alberto, on inflation. 
Alberto Calderon: Inflation, sorry. Look, we continue to see this inflation stuck around -- average around the world, I would say 5%. So not higher, but not much lower. And remember, in the places where we are, we show that in the last set of results, I think Gillian showed that it's usually higher. So I would say that for the next year, we are -- as we do our budget and as we prepare for the guidance in February, it's still around 5%. 
Operator: The next question comes from Frederic Bolton -- apologies. The next question comes from  Frederic Bolton of BMO Capital Markets. 
Frederic Bolton: Alberto, just a quick question from me on Obuasi. Because you mentioned that you are proposing moving to cut and fill. Can you give us any indication on how that might impact mining costs in general? 
Alberto Calderon: It won't. Basically, it won't impact our costs in any meaningful way. It's actually interesting. We will have a -- we started a trial already and we think we will be producing, next year, about 8% of our tonnes will be with this mining method. And if you look at it in the sense that we're going to be able to -- this is not going to be for all the mine only for this very deep, sort of very high-grade areas. When we look at the fact that we're going to be able to get the ore, all of it, without dilution in a much more consistent way, probably the cost will be, if anything, slightly lower. Although this is, in general, a more expensive mining method, it will probably not have any meaningful -- or if anything, we will be able to get less dilution, and hence, more value. 
Operator: The next question comes from Martin Creamer of Mining Weekly. 
Stewart Bailey: Judith, it's seems he's dropped off. 
Operator: [Operator Instructions]. 
Stewart Bailey: And Judith, just perhaps a reminder that there is a facility for the webcast as well. No questions on there at the moment. But if anyone does have, please to post those. 
Operator: [Operator Instructions] Our next question comes from [ David Hill of Ninety One. ] 
Unknown Analyst: I just had a quick question on the reporting side. It sounds like you are out of scope for South Africa and you're not in scope yet for the U.S. So you're kind of in the space where you don't have a high bar of kind of compliance on the reporting side. So the question is, if you do have a sort of a surprise or you've got to adjust your guidance, at what point do you have to do that now? If there is a material difference between the expectations and the previous guidance, at what point are you supposed to report that to us? 
Alberto Calderon: I will ask Stewart to help me on this. But I don't -- I can't talk about this, but I did start the call by saying maybe if I -- what I said last time, I'll read what I said last time in H2, and nothing has changed from that. I could tell you that. So in H2, we said we're confident of our guidance. We don't take our guidance lightly. Last year, we were probably the only one of the big companies that kept guidance. We work hard on credibility. And so when we are putting out and saying we will keep guidance on production, that's what we will do. And when we say we keep guidance on cash cost, that what is what we will do also. And all-in sustaining, we say we think we can, but if anything, we'll be a little bit higher, only a couple of points. So that's what I said in H2, and I would be able to say it right now again. .
 But Stewart, from the academic one, because it doesn't apply to us, what would you answer? 
Stewart Bailey: Yes. Look, I think your answer is good there, Alberto. I think obviously, as Alberto mentioned at the beginning, we're somewhat limited on this call to sort of reporting on production only. And by this time next year, we'll be back fully in the swing of quarterly reporting again. 
Alberto Calderon: But I would imagine if we had a major issue, we would go under the normal sort of profit warning or something like that, I would imagine, that's why I mean academic or theoretical, because it doesn't apply. 
Stewart Bailey: Yes, I think that's correct. 
Alberto Calderon: I think there was another question, but is that clear. 
Unknown Analyst: Yes, that's perfect. 
Operator: Our next question is the follow-up from Adrian Hammond of SBG Securities. 
Adrian Hammond: Alberto, since I have the floor, I thought I'd follow-up, if I may. I mean just want to perhaps give you more opportunity to talk about the business here, given your constraints. But are you -- can you perhaps give us some color on the progress in the relocation to Denver for your team and how that's going ahead? And perhaps any sort of further color on the progress on the Asset Potential program particularly curious about Geita and what opportunities, steps you're identifying there, if any, and whether you still see Brazil as -- or not, given the situation, it just seems. 
Alberto Calderon: Maybe I'll ask Marcelo, who's in the call too, to give us some update. It continues to progress very well, the Full Asset Potential. And you will see it -- again, we're restricted. But in February, we will put out guidance in February. Remember that we have talked about decreasing cash costs. And I said, we will be able to -- we're very much more confident right now with the full asset potential and how we are seeing things to have that probably to reiterate that guidance. Look, so I'll ask Marcelo to help you on that. 
 The move to Denver has gone well. We actually had the whole ExCo last week. We were all together, which is actually fabulous. And we did a lot of work and also integration work. Right now of the ExCo, it's only Stewart that continues in South Africa and Richard is, well, usually traveling in Africa between U.K. and Perth, but also spending time. The rest of the ExCo, which makes 6 of us, are already living in Denver and happy living in Denver. So I think that, that has -- we can see the difference of people in the office and the ExCo in the office and how things move smoothly, things progress. But Marcelo, why don't you... 
Marcelo Godoy: Yes. Thanks, Alberto. Just quickly, on Geita. Geita remains on track to achieve this 500,000 ounces for 2023. And it's a very strong result for us considering the planned shutdown that happened in Q1. Gold production was 6% higher quarter-on-quarter. It's 126,000 ounces in Q3 compared to 119,000 in Q2. And that's mainly due to higher ore tonnes processed and higher overall recovery grades. I can say that Geita is one of the most successful sites in achieving full potential targets. 
 We have been concentrating basically 3 areas. Open pit tonnes, which we have improved considerably. Also in the Nyankanga underground ore tonnes, which have improved considerably. We have a consistent production, much higher than previous years there. And throughput and recovery is another focus for full potential. While throughput has been in a really good spot, recovery has been suffering a little bit because of mix of different materials. But we are pretty happy with the full asset potential at Geita and the results it's provided. Back to you, Alberto. 
Alberto Calderon: Thank you. I thought I -- we have some time, Richard, to put you on the spot. But you -- obviously, you know Geita, you used to run it very well. I've always think that it's underappreciated. What's -- again, out off-the-cuff, but your probably more long-term view of Geita. Not with numbers, but just from... 
Richard Jordinson: Yes, look -- thanks, Alberto. Yes, the underground operations, I saw all 3 of them, let's say, Nyankanga, Star & Comet and Geita, all relatively new operations. So there's an enormous amount of potential at depth in terms of developing and mining, producing more ounces. In particular, Nyankanga is the premier underground operation. It's got the grade, it's got the ounces. So -- and that has some fantastic potential on an underground basis. 
 As far as open pit, Nyamulilima is, I'd say, a medium-sized pit. It's sitting at around 2.5 grams per tonne. It will go for the next 5-plus years, and we'll have significant stockpiles beyond that as well. But it's -- from my experience, it's got to be one of the most prospective areas of exploration. Certainly brownfield exploration, wherever you drill, you tend to find some gold. So look, it's got enormous potential as well from an exploration within the SML as well. So yes, it's a terrific asset. Definitely a Tier 1. Thanks, Alberto. 
Alberto Calderon: Thank you, Richard. Good. Look, I -- before there's other -- we can -- another question, but probably let me summarize these production results with probably the year in production. We -- obviously, it's not normal to have such significant events like we have. The tank failure it's probably the investigation says it's something that happened about 18 or 20 years ago. And suddenly, we have this tank failure in Siguiri, and that cost us, as I said, about 20,000 ounces. And then the Cuiabá basically a change in regulation. We -- I won't dwell on it again. But the first quarter, if you remember, was very difficult from the first and second quarters from the impact of these 2. 
 And -- but it's, as I said, always how you recover. And so I'm very, I have to say, pleased with how the year is ending with Siguiri almost back to normal. Cuiabá, we did put out the -- as said, okay, we may do around 180,000 and we're going to finish probably doing more than the previous year, but that's just -- the team has done an extraordinarily good job. You could imagine when we talked about in February, March, April, the expected cash flow negative of Brazil was very significant. And again, I can't talk about that, but I can't wait for February to talk about this. Because with this production, things have changed for the better pretty significantly. 
 And then Obuasi, yes, we had -- in August and September, but that's just in the normal on an ore body like this. But again, we're back on track, and we haven't changed the long-term guidance, so '25, '26, and all of that is, as we have spoken in the past. So I'd probably finish by saying I can't really -- you may have noticed that I'm restricted by the lawyers more than I would have wanted, but that's how it is. We can't really talk about more and I can't wait for February because yes, it will be quite interesting results and quite interesting view of '24. 
Stewart Bailey: Judith, I have a couple of questions from the webcast. Can I go to that now, please? Alberto, I'll start off with Mark Hassey from Oaktree, who says, could we just talk about progress on a solution for Serra Grande? And second, any updates on Cuiabá with respect to tailings? 
Alberto Calderon: Look, Serra Grande, the objective of Serra Grande for next year is that it is cash neutral. And I think we're going to achieve that. It is not the case for this year. And so yes, overall, probably in Brazil, what is amazing that is happening is we have a very good team. I've said it in the past, again, it started with our acting COO, then Marcelo going to Brazil and just really taking the very hard and difficult decisions. And then having a new team, we have Marcelo Pereira on the new SVP. We have a new finance. We have new GMs in Cuiabá. We have a new Serra Grande. And so things are progressing very well. 
 We've said in the past that if we find a good buyer, and a good buyer is one that, more than anything, can ensure the continuity of what it will license to operate, that we would contemplate it. But if not, we're prepared for with care and maintenance in CdS, and then taking Serra Grande to a slightly, let's say, cash positive situation. So Cuiabá, what we've said before is that it was going to take this year to do all the drilling and all of that, and determining the geotechnical work to support that budgeting program. And that is handling -- the timing for completion of that is expected to be at the end of this year, next month. And then with that, we will start the work that should be happening all through 2024. 
 So what -- again, I will reiterate, the most important thing is Cuiabá today has, obviously, safe TSF, number one. It is producing positive cash flow. It's managed to stabilize in a -- with this system of producing gold gravimetrically about 30% and 70% with concentrate. We've got into a good agreement. So we're quite happy with how it is right now. But yes, we will be working on the buttressing during 2024.  It is an issue of time. It's not an issue of money. As I said, this is a, relative in the scheme of things, in the dozens of millions, probably to the lower end of dollars. So it's not a big thing. It just takes a long time. It's a more complicated operation. I don't know maybe, Marcelo, if you can complement me on this. 
Marcelo Godoy: Sure, Alberto. Like in the Cuiabá, the good news in Cuiabá is that we -- Cuiabá dam itself has been -- is now out of the emergency level. So all the emergency plans have been accepted. The dam is stable, and the engineering is ongoing. So we have 2 major dams there. Cuiabá, which is where we put the disputed tailings from the flotation plant, and there is the Queiroz plant. There is, in [indiscernible]. That other dam, the Calcinados dam is also the same process of engineering being developed, and we expect to have the plans for next -- in the next couple of months to have detailed capital costs and project schedule for the completion of that buttress in 2024. 
Stewart Bailey: Okay, Marcelo. I have another couple from the webcast, Alberto. Cameron Needham from Bank of America says, in terms of Full Asset Potential, how do you think about balancing -- giving operational teams at each asset time to deliver improvements versus perhaps looking to undertake alternative measures for sites? 
Alberto Calderon: Look, there's -- you have to trust the teams. Again, there is -- the Full Asset Potential works just to remind, is it starts with -- it's a mutual effort between a team at the center, less and less we're using consultants, and the assets on the ground. But in the end, it's the asset on the ground that delivers it, the management on the ground who owns it and the ones that they agree of a time line to deliver. You have to trust your people on the ground and that's how we are following. What we do is there is a cadence. Once we define, okay, this will be done in X number of months and this is the S curve. There is meetings in which I particularly participate monthly, but I know that Richard and Marcelo have a much greater cadence. 
 And that's how it's done. There is really no -- there's always sense of urgency, but as long as the assets are not losing money, it's not like we have to say, well, you have to do it in a shorter time. The most important thing of all of these programs is the ownership of the people on the ground, and that's what we will keep doing. 
Stewart Bailey: Thanks, Alberto. Then Martin Creamer is back. We lost him from the line earlier. But he says, could you just provide some insight into the decarbonization project at Geita, and then more generally? 
Alberto Calderon: The decarbonization at Geita. Richard? 
Stewart Bailey: I can maybe, Richard, just start off and then throw over to you if there's anything else. So Martin, effectively, what that is, is we're trying -- we use diesel gen sets to generate the bulk of the power for the plant, for the processing plant at Geita, and have done for a long time. And we are shifting that to the national grid, which has got a higher proportion of its energy that comes from alternative sources, mainly hydro. And then we'll keep those diesel gen sets on sites as back up. 
 That process with the state utility in Geita will be happening over the end of this year and into next year. You see a significant drop in our emissions on-site from that. It's a very good project for us actually. And obviously, dependent on hydro levels in the dams in Tanzania being in a good state. But that's moving per plan. And so by around midyear next year, you should start seeing that full benefit come in. It's actually a reduction in tariff and, obviously, a reduction in emissions as well. Richard? 
Richard Jordinson: Nothing to add, Stewart. That was -- you covered it. 
Stewart Bailey: Thanks. And then just more generally, Martin, you'll see that we signed the deal with Pacific Energy at Tropicana. Construction is actually -- or that project has kicked off and you'll be seeing -- so what we have on our plate at the moment is Tropicana and Geita. After that, we will -- Ghana is sort of potentially next on the list with a very big solar project there, and we'll provide some more detail on that into the new year. 
 Judith, I think we have one more question on the conference call from Tanya. We can take that. 
Operator: The next question comes from Tanya Jakusconek of Scotiabank. 
Tanya Jakusconek: Great. Apologize if you've already dealt with this. As you know, there's 3 calls going on at the same time. So I have a question on Obuasi, if I could. And I have seen that you have struggled with some ground conditions and you are looking to change the mining method from long-haul stoping to cut and fill. I know that, Alberto, you mentioned that '25, '26 production profile long term of that 450,000 ounces hasn't changed. But can you talk a little bit about if that had any impact to 2024? And obviously, cut and fill is more expensive than long-hole stoping. Has anything changed on the costing front on the long-term mine plan? That's my first question. 
Alberto Calderon: Thank you, Tanya. I'll ask Richard to help me. But we did cover it that we haven't -- there's no material impact on costs. And if anything, we believe that this will allow us to go -- this is not for all the grounds, it's for the difficult ones. It will allow us to have less dilution and go quicker. And probably the scheme of things, it will end up adding -- well, there's no doubt it will add more value than if we kept with the current system. But Richard, maybe you help in... 
Richard Jordinson: Yes. Just for your information, so without open stoping, we post fill, so we paste. So paste is associated with both mining methods, underhand cut and fill and long hole open stoping as a first. So there's no -- we don't expect any material impact in cost in terms of an increase, yes. So -- and as far as -- once we've established the working areas and the working phases, we expect to have a lot more reliability and a consistent supply of particularly high-grade ore to the plant. So due to the ground conditions, it's just too -- there's too much delay in sourcing out the ground control issues. 
 So we've elected to -- the trial starts, we've got a trial starting this quarter. We'll have a very good idea how it's all performing by the end of first quarter next year. And then beyond that, we don't expect any major issues. It's more of a learning exercise actually just to make sure we get the process correct and our assumptions -- test our assumptions from a technical point of view and then we'll -- as we -- as time goes by, we'll move all the mining blocks into underhand and cut and fill, particularly the high-grade ones, yes. Thanks. I hope that answers your question. 
Tanya Jakusconek: Richard, what percentage of the ore body are you forecasting to be this cut and fill file versus the long haul -- like the stoping method? 
Richard Jordinson: Well, next year, we're anticipating around 25,000 ounces. So a little over 10%, 10% to 15% next year, for '24. But it will increase over time as we open up these areas. 
Tanya Jakusconek: Okay. I was just kind of thinking from a reserve standpoint, what percentage do you think would have to be treated by cut and fill. Like just for us, like should we be thinking like it's going to be that 15% to 20% of the ore body? 
Richard Jordinson: No, no. No, it's going to be most of the orebody. You see as we get deeper, we have to deal with the high-grade stopes, right? So this method will be a lot more viable in the high-grade areas with -- and generally, we have poor ground conditions. So I would suggest in a few years' time, as time goes by, that most of the production will come from underhand cut and fill. 
Tanya Jakusconek: Okay. All right. No, that's helpful. 
Richard Jordinson: But there's no -- there should be no material impact in cost, as I said, because both methods use by us, as we know, is expensive, yes. 
Tanya Jakusconek: No, I understand about the paste fill and cut and fill. I'm just trying to understand as well, like in terms of getting -- you're doing a test stope next year, and I guess you have a contractor or experts there on the mining method. Cut and fill is used in very selective mining, as you know, just not everybody has that expertise. I'm just wondering where you get the expertise from. 
Alberto Calderon: Well, fortunately, Tanya, we have the expertise in-house because both Richard has done it. And also, we have our GM of Geita, Terry, has also had significant experience. So of course, we're getting people on the outside. But fortunately, we have probably our 2 most senior underground experts in this method. 
Tanya Jakusconek: No, it's good. 
Richard Jordinson: That's correct. It is. 
Alberto Calderon: It is. It is. 
Tanya Jakusconek: I wanted to ask one more question, if I could. And this is to do with 2024. And I know you're going to talk more about what's happening in February. Can you remind me, Alberto, in February, are we getting 2-year guidance? Are we getting 2024 and 2025? I'm just trying to -- and what we're getting in February. And then what are we getting long term? When are we getting more than 2 years? 
Alberto Calderon: So we're giving 2 years in February. And in February, I will answer you the second question. We're still struggling. We're still -- I'll use the excuse I can't talk about cost for that. But yes, I'll tell you in February. I know that we've focused, but we were doing a lot of things. But it's for sure '24 and '25. 
Tanya Jakusconek: Okay. And then in terms of reporting for us so we understand, so full year financials in February. Then in Q1 of next year, we're still only getting the production numbers. And then in June of 2024, that's when we start to go to full reporting under U.S. GAAP quarterly? Is that how I should think about it? 
Alberto Calderon: Yes. 
Tanya Jakusconek: Okay. So more information in February, so lots to come. 
Alberto Calderon: Yes, yes. I can't wait either. Because yes, things are progressing well. Thank god. 
Operator: It appears we have no further questions on the conference lines. I will now hand back to Stewart Bailey for closing remarks. 
Stewart Bailey: I, in turn, will hand over to Alberto. 
Alberto Calderon: Well, thank you again all for attending the conference. I probably already said my closing remarks before, of the year that's been. We're quite happy with how things are finalizing. Obviously, you always have to go to the end. But yes, there's -- it's a significant quarter, as we see. October already -- maybe probably, if I end with that. If we only repeat what we saw already in October and November, December, everything that we've said will materialize. 
 So yes, we just need to keep the inertia of October. And yes, it's -- we'll talk again in February. And then with probably, Adrian, for you, we'll see cash costs and we'll discuss it in February. I'm looking forward to that. Thank you very much. 
Stewart Bailey: Thanks, Judith. Thanks, everybody. 
Operator: Thank you. Ladies and gentlemen, that concludes today's event. Thank you for joining us, and you may now disconnect your lines.